Operator: Good morning, everyone. Welcome to the Conference Call for Analysts and Investor for 2025 First Fiscal Quarter Results of Infineon. Today's call will be hosted by Alexander Foltin, Executive Vice President, Finance and Treasury and Investor Relations at Infineon Technologies. As a reminder, this call is being recorded. This conference call contains forward-looking statements and/or assessments about the business financial condition, performance and strategy of the Infineon Group. These statements and/or assessments are based on assumptions and management expectation resting upon currently available information and present estimates. They are subject to a multitude of uncertainties and risks with many of which are partially and entirely beyond of Infineon's control. Infineon's actual business development, financial condition, performance and strategy may therefore differ materially from what is discussed today in this conference call. Beyond disclosure requirements as stipulated by law, Infineon does not undertake any obligation to update forward-looking statements. At this time, it's my pleasure to hand over to Infineon. Please go ahead.
Alexander Foltin: Many thanks, operator, and good morning, ladies and gentlemen. Thank you for joining our first earnings call in 2025. On this call, you have our CEO, Jochen Hanebeck; our CFO, Sven Schneider; and our Chief Marketing Officer, Andreas Urschitz. Jochen and Sven will provide a comprehensive overview on the market situation and divisional performance, key financials and our outlook. After that, we will start our Q&A session. As usual, the illustrating slide show, which is synchronized with a telephone audio signal is available at infineon.com/slides. We will again provide a PDF with Jochen's and Sven's introductory remarks in the course of the call on our website, namely infineon.com/investor. There, you will also find a recording of this conference call including the aforementioned slides, a copy of our earnings press release, as well as our investor presentation. And now, Jochen, over to you.
Jochen Hanebeck: Thank you, Alexander, and good morning, everyone. 2025 marks the 25th anniversary of Infineon as an independent stock-listed company. During a quarter of a century, we have transformed our business towards the most attractive strategic opportunities. It has always been key to distinguish near-term, often cyclical market behavior from long-term structural patterns. The same applies today. At the beginning of the year, the cycle trough is dragging on. The rolling correction in many of our target markets, such as automotive and industrial is continuing. A modest recovery is in the cards for the second-half of our fiscal year, as predicted in November. Near-term cyclical headwinds aside, secular trends provide us with undiminished growth opportunities. A case in point is the continuing and immense momentum we are seeing for our solutions for powering AI service. Like in the past quarter of a century, while we manage the here and now, we simultaneously focus on innovation and structural improvements to successfully shape the future. Now, let's take a closer look at the start of our 2025 fiscal year where our revenue and margin numbers came in slightly ahead of expectations in the December quarter. Group revenues amounted to EUR3.424 billion. While corresponding to a steep quarterly decline of 13%, revenues came in about EUR200 million ahead of our prediction. About half of this was currency related as the actual U.S. dollar exchange rate for the quarter was $1.07, compared to the assumed guidance rate of $1.10. We also noted a slightly better volume development than originally anticipated. The segment result came in at EUR573 million, equivalent to a segment result margin of 16.7%, reflecting the meaningful revenue contraction, compared to the previous quarter and correspondingly high underutilization charges. Included in the margin is a one-time compensation payment from a customer of a mid-double-digit million amount. Our order backlog at the end of December was standing at around EUR20 billion, practically unchanged quarter-over-quarter considering the stronger U.S. dollar. Now let's take a closer look at our divisions, beginning with automotive. In the first quarter of 2025 fiscal year, the segment achieved revenues of EUR1.919 billion. As expected, customers brought down their inventories significantly, compounding normal seasonal effects. Yet the quarter-over-quarter decline of 11% was a little lower than initially anticipated, even accounting for the stronger U.S. dollar. In particular, our sales volume in China increased by 10% quarter-over-quarter, stronger than forecast. The segment result of ATV came in at EUR363 million with a corresponding segment result margin of 18.9%, reflecting mainly the decline in sales, underloading charges and some adverse mix effects. In the near-term, inventory destocking across the automotive supply chain will remain the major drag on revenue development. Vehicle production numbers are forecast to stay flat in 2025, amidst lingering tariff and trade uncertainties and yet the structural content growth is set to continue. Assisted and semi-autonomous driving features should keep proliferating at a healthy pace. The adoption of electric vehicles will continue to differ by region. In China, by far, the world's largest and by now also the most innovative global xEV market, the extension of scrappage and trade-in policy schemes is expected to support strong genuine customer demand. Conversely, the new U.S. administration will likely curb EV growth. Overall, we anticipate electric vehicles to grow globally at a mid-teens percentage rate, somewhat more cautious than market analysts like Standard & Poor's. With our unrivaled portfolio breadth and worldwide customer reach, we will continue to lead the global automotive semiconductor market from the pole position and nurture our structural growth drivers around e-mobility and software-defined vehicles. This is well received by our customers. For example, a key Chinese OEM recently increased its silicon carbide module orders significantly. Furthermore, we are happy to announce another major silicon carbide design win at the German Tier 1, ZF, using our latest 1,200-volt CoolSiC ID pack discrete devices with four dies per package. This unique product is an established form factor dedicated to high-current, high-power applications, allows the scalable integration into the next generation of traction inverters. We will be supplying ZF with a mid-triple-digit million euro volume serving to premium OEMs. Looking at the silicon carbide market in general. Infineon was the fastest-growing major company in 2024 according to third-party market research with revenues growing more than twice as fast as the market, leading to a market share of around 20%. The current market dynamics let us conclude that we will likely outgrow the other established silicon carbide players over the coming years. A key highlight for the quarter is the continuation of our excellent collaboration with the leading Chinese EV manufacturer, BYD. We are proud to report new design wins ranging from zonal control units to steering applications. The design wins extend over multiple years and cover a wide range of Infineon products, including cutting-edge OptiMOS 7, power management ICs, TMR-based sensors, as well as microcontrollers comprising both the AURIX and TRAVEO family. Looking at other regions, we achieved new design wins for zonal control for Japanese and for a French OEM for a total volume north of EUR300 million. Now moving to Green Industrial Power. Coming from a revenue level of EUR500 million in the preceding quarter, GIP witnessed the anticipated steep decline in the December quarter, EUR340 million correspond to a sequential contraction by 32%. The persistently weak market momentum and the reduction of elevated supply chain inventories aggravated the usual seasonality, impacting all application areas. As a consequence of significantly lower volumes and unfavorable price changes, the segment result of GIP deteriorated to EUR34 million, reducing the segment result margin to 10%. The cyclical market weakness affecting industrial applications is continuing into 2025. Global PMI reading remains soft. Macro data points have yet to show signs of consistent improvement. The inventory depletion is progressing at pace being a function of end demand. Such end demand differs by application. For core industrial like factory automation, as well as for major home appliances, it still needs to show a clear reversal. In renewables, underlying structural demand remains intact, due to globally rising power and efficiency requirements. Solar and wind are the most economical ways of energy generation in many regions. On the energy infrastructure side, demand for items like transmission, energy storage systems or uninterruptible power supplies is robust, driven among others by AI data center build-outs. Also, rail transportation is seeing continuous investments in infrastructure and electrification. Overall, we are expecting a gradual recovery to set in the second-half of 2025. With a cutting-edge offering of power solutions, we will fully benefit from an upswing. Now to Power & Sensor Systems. PSS recorded revenues of EUR820 million and comparatively mild sequential decline of 5%. While consumer and smartphone-related businesses saw a typical negative seasonality, our power solutions for AI servers are on an unabated strong trajectory. The segment result of PSS increased to EUR149 million, corresponding to a segment result margin of 18.2%. The aforementioned compensation payment we received from a customer is included here recorded as other operating income. Now to an organizational change. Effective 1 of January 2025, we have transferred our automotive sensor business line covering radar magnetics, MEMS and others from ATV to PSS. Within PSS, it will be combined with the existing sensor and radio frequency or RF business. By combining our sensor and RF expertise in a dedicated unit, we are strengthening our focus on these promising product families while increasing competitiveness by leveraging R&D synergies to ultimately accelerate innovation to customer value. Our overall segment reporting structure will not change. The annual revenue of the automotive sensor business line in fiscal year ‘24 was around EUR700 million, its segment result margin roughly in line with the ATV average. For modeling purposes, you'll find the quarterly revenue numbers in our press release. Looking at PSS target markets, we see that consumer computing and communication applications, which entered the long correction first have now bottomed out and some like consumer electronics and battery power tools are beginning to show first positive signals. For this quarter, inventory destocking will still be a headwind. The picture looks brighter for our industry-leading silicon microphones going into smartphones and accessories. In PCs, we expect traction from a refresh cycle kicking in this year. The by far strongest dynamic is in the area of power solutions for AI servers, a highly attractive structural growth trend. Addressing the entire power flow from grid to core with our unique product offering, we see our business scaling up very dynamically, and we are happy to firm up our near-term target once again. We will achieve around EUR600 million of AI-related revenue in this fiscal year. And as I said before, we will cross the EUR1 billion revenue line within the next two years. To complete the divisional review, let's take a look at Connected Secure Systems. Segment recorded quarterly revenues of EUR344 million, down 15% from the September quarter. Most application areas saw sequential declines, reflecting the ongoing weakness in consumer and IoT markets. Driven by lower revenue, the segment result of CSS went down to EUR30 million corresponding to a segment result margin of 8.7%. IoT and security markets are currently trending around the bottom as macro uncertainties continue to affect consumer sentiment and corporate spending. That said, inventories are normalizing and booking patterns show initial positive signals, albeit on a still low level. This supports our view of a modest recovery in the second-half of 2025. We are preparing for future growth with continuous innovation. With PSoC Control, we have launched a new family of industrial microcontrollers, enabling highly efficient and secure motor control and power conversion systems. Such systems are found in a diverse range of applications like home appliances, industrial drives, robots, light electric vehicles or solar appliances. As more and more wide bandgap power components are adopted in these applications, faster control loops are required to improve performance and system efficiency. Furthermore, security is becoming increasingly important as a key enabler. Infineon has achieved a milestone on the way to a quantum resilient world in collaboration with German Federal Office for Information Security. We are the first company ever to receive the Common Criteria EAL6, an industry-leading certification level for the implementation of a post-quantum cryptography algorithm in a security controller. Such cryptography enhances security for eSIM, 5G SIM and smart card applications including personal IDs, payment cards and eHealth cards. Now over to Sven, who will present our key financial figures.
Sven Schneider: Thank you, Jochen, and good morning, everyone. The adjusted gross margin in the December quarter came in at 41.1% compared to a slightly restated level of 43.3% for the previous quarter. In line with market practice, from the beginning of our 2025 fiscal year, we changed the cost allocation method and regrouped certain expenses from cost of goods into research and development. Prior periods have been adjusted such that a like-for-like comparison is possible. The decline of around 200 basis points quarter-over-quarter is essentially related to the noticeably lower sales volume. Besides this, slightly unfavorable mix and price effects were offset by positive currency impacts. Idle charges continue to burn our margin as fab utilization levels remain subdued as part of our cycle management. Also, the reported gross margin decreased quarter-over-quarter from restated 41.4% to 39.2%. On the OpEx side, research and development expenses increased slightly from EUR522 million in the September quarter to EUR544 million in the December quarter. Selling, general and administrative expenses were EUR395 million, tightly managed to stay flat compared not only to the preceding quarter, but also to one year ago. The net other operating expense amounted to EUR86 million. Therein, we recorded impairment charges and provisions totaling EUR113 million related to manufacturing equipment becoming obsolete in connection with the restructuring of production processes and the optimization of the fab footprint under our Step Up initiative. These charges are part of the non-segment result, which amounted to minus EUR255 million for the December quarter. The financial result for the first quarter of our 2025 fiscal year was minus EUR17 million after minus EUR26 million in the quarter before. Income tax expense for the first fiscal quarter amounted to EUR60 million, equivalent to an effective tax rate of 20%. Cash taxes for Q1 were EUR152 million containing payments made for prior years. Adjusting for these and for PPA effects, the cash tax rate would be 23% at typical level given that tax loss carryforwards have been fully utilized. Our Q1 investments into property, plant and equipment, other intangible assets and capitalized development costs increased slightly to EUR731 million. Also, depreciation and amortization, including acquisition-related non-segment result effects, went slightly up to EUR487 million. Our reported free cash flow showed the usual seasonal pattern and came in at minus EUR237 million. In the quarter before, it had reached EUR1.145 billion, driven, among others, by cash-ins from fundings, the scheduled receipt of customer prepayments and positive working capital effects. As expected, these factors fell away or reversed in the December quarter. In addition, the operating result went down sequentially. And as usual, in this quarter, a large part of annual variable income payments was made. As we had flagged in our last earnings call, short-term market conditions make inventory management quite challenging in the near term. As planned, our inventories have gone up over the course of the December quarter. Their reach increased also on the back of the lower revenue to 190-days. Towards the end of our running fiscal year, we target to be at a reach level similar to the one at the end of our last fiscal year. Channel inventories at distributors have meanwhile normalized or are about to do so for many of our product categories. Now to our liquidity and leverage. Our gross cash at the end of December stood at a bit above EUR1.9 billion, in line with our recently updated finance policy of having gross liquidity of at least 10% of revenues on average throughout the year. Our gross debt amounted to EUR4.9 billion, equivalent to a gross leverage of 1.4 times. Net debt consequently amounted to EUR3 billion corresponding to a net leverage of 0.8 times. I'm pleased to report that our investment-grade rating of BBB+ stable has been confirmed by S&P Global a few weeks ago. Among other things, the rating agencies honored our conservative financial policy and a clear commitment to keeping a strong liquidity position. To further strengthen the latter, we have just signed a EUR2 billion committed standby revolving credit facility for a five-year tenor with a group of international banks. This highlights the strong trust, which we are enjoying from our financial partners and provides us with additional financial flexibility. Finally, our after-tax reported return on capital employed for the first fiscal quarter of 2025 came in around 5%, remaining at an unsatisfactory level. Before handing back to Jochen, let me quickly remind you of our Annual Shareholders Meeting on the 20th of February. Exploiting the benefits of the online format, I hope to virtually meet many of our shareholders there. Now back to Jochen, who will comment on our outlook.
Jochen Hanebeck: Thank you, Sven. With more than three months into our 2025 fiscal year, our markets are developing along the lines of the playbook we had envisioned for our guidance in November. Inventory corrections are continuing, especially in automotive and industrial, slowly getting less intense. Stock levels in many consumer markets have normalized, but a higher-than-normal share of turns business is still limiting visibility. AI-related investments in xEV in China remain the bright spots. Predicting the exact timing and momentum of the cycle is challenging. There are some signs of demand returning, but until they are getting stronger, it is prudent to assume a modest recovery in line with our guidance rather than a sharp rebound. External factors like geopolitical tensions or regulatory changes affecting tariffs and trade can have significant influence. Our focus remains on managing what we can control and ensuring Infineon is in optimal shape for the market recovery. In the meantime, our secular content drivers will continue to support our growth momentum. For the currently running second quarter of our 2025 fiscal year, we expect revenues of around EUR3.6 billion. This is based on an assumed U.S. dollar exchange rate of $1.05. As we had already mentioned in our earnings call back in November, we expect the inventory reduction by our automotive industrial customers to continue throughout this quarter before abating sometime in spring. Hence, we calculate that our March quarter is burdened by about EUR200 million of inventory correction. On a divisional level, ATV is expected to trend along the same lines as the group, whereas GIP should see a stronger sequential increase, albeit from a very low base. Revenue levels in PSS and CSS are expected to remain roughly constant. These predictions assume that the aforementioned transfer of the automotive sensor business line from ATV to PSS had already happened. So it's a like-for-like comparison. For the March quarter segment result margin, we expect a mid-teens percentage level. Positive fall-through effects from volume gains will be offset by the well-known price adjustments for 2025 kicking in and the fall away of the one-timer recorded in Q1. Customer negotiations vindicated our initial assumption about annual price declines. Coming to our outlook for the full 2025 fiscal year. We now assume revenues to come in flat to slightly up, compared to the prior fiscal year. This revision from our previous forecast of slightly downward trending revenues is essentially, due to a changed currency assumption. We are now assuming a U.S. dollar-euro exchange rate of $1.05 for the remainder of the fiscal year instead of $1.10. This change, together with a slightly better actual U.S. dollar exchange rate in Q1 adds approximately EUR450 million to our top line. We stick to our prediction of a modest recovery sitting in during the second-half of our fiscal year. Rising incoming orders confirm our reading, but it's too early to call for a sharp rebound. We need to keep monitoring business indicators closely to allow for a range of scenarios, prepare and act accordingly. A prime example for such a scenario would be an escalating trade conflict sparked by tariffs and counter-tariffs like the ones announced by the U.S. over the weekend on Mexico, Canada and China. While direct impacts on us might be limited given our geographically diversified supply chain, our base case does not include potentially significant indirect impacts arising from trade wars on customer demand. By division, we expect the year-over-year revenue development of both ATV and CSS to be broadly in line with the group's. For GIP, we continue to foresee a pronounced annual decline, whereas PSS revenue should significantly grow and particularly on the back of our AI-related product offering success in the marketplace. Our margin assumptions for the 2025 fiscal year stay in place for now. We continue to expect our full-year adjusted gross margin to come in at around 40% and our segment result margin to end at mid to high-teens percent level. The stronger U.S. dollar makes it more likely to land at the better end of this range. Cyclical idle charges of around EUR1 billion for the fiscal year continued to be a margin headwind of around 500 basis points. These charges plus the revenues and margin potential from currently underutilized capacities show our underlying profitability once the market is back. In addition, we are putting in significant efforts to improve our structural and profitability through our Step Up initiative. We are very pleased with how the measures identified under Step Up are progressing and confirm what we said before. We are going to reap first benefits in the current fiscal year, expect further meaningful impacts coming in the 2026 fiscal year and then the full high-triple-digit million effect from '27 onwards. Our guidance for investments, depreciation and free cash flow for fiscal ‘25 stays unchanged. Investments are predicted to amount around EUR2.5 billion, including capitalized development expenses. For depreciation and amortization, we continue to anticipate a value of around EUR2 billion, including around EUR400 million resulting from purchase price allocations, which will hit our non-segment result. Our adjusted free cash flow, net of investments into major front-end buildings, is expected to come in at around EUR1.7 billion. For the reported free cash flow, we expect a level of around EUR900 million. Ladies and gentlemen, let me summarize before we go into Q&A. Our markets have bottomed. Inventory corrections in particular, by automotive and industrial customers are progressing in the near term, powering AI data centers and China xEV are notable exceptions. The start into our 2025 fiscal year was slightly better than predicted, with revenues of EUR3.4 billion and a segment result margin of 16.7%. Our key assumptions for how our business will unfold are proving to be correct, including the perspective of a modest recovery in the second-half of our 2025 fiscal year. Mainly on the back of the stronger dollar, we are raising our revenue guidance for fiscal '25 to flat to slightly up. The growth outlook beyond the cyclical recovery looks highly attractive based on how well Infineon is indexed to secular trends. Cycle management and focusing on the things we can control remain key to navigate the near term. At the same time, we are strengthening our innovation power and leverage structural improvements from the Step Up program to make sure our company is in optimal shape for the years to come.
Alexander Foltin: Thank you, Jochen. Ladies and gentlemen, this concludes our introductory remarks, and we are now opening the call for your questions. With a well-filled pipeline of analysts, we kindly ask you to limit yourself to one question and one follow-up. Operator, please start the Q&A session now.
Operator: Thank you. [Operator Instructions] And we'll take our first question from the line of Sara Russo from Bernstein. Please go ahead.
Sara Russo: Thanks very much for taking my question. So one of your peers talked about automotive outlook deteriorating into Q4. And clearly, you're sort of calling a bottom here. Can you talk about the dynamics of that? I mean specifically China, you're calling out as strong. They were talking about European automotive markets being a bit weaker. Can you just talk about what you're seeing and what gives you confidence of the trajectory into 2025?
Jochen Hanebeck: Yes, I would like to answer that question for automotive, but also for -- in general, for the company. While I cannot explain results in detail for competitors, but I can tell you why Infineon might be better off as compared to competition. So first of all, there is the exposure to idiosyncratic growth drivers, being the AI -- powering AI topic. And relating to your question, the xEV in China, where we are teaming up with the winners. Secondly, it's about market shares. We will see the numbers in April about automotive microcontroller market shares, but given our revenue development, I'm optimistic to see favorable development for us. And that contrast maybe to other segments of the microcontroller space. Thirdly, we are not exposed over-proportionally to individual customers. So our customer base is broad-based whereas some competitors might depend more on individual customers, which has always been our direction to be here broad-based. Last but not least, we have seen in the past, behaviors in the market that some market participants pushed volumes into the customers' offerings, sometimes also special deals, which we are not doing. You see in turn, then a higher fluctuation on our end in terms of inventory, but this pushing of volume into customer hands, in my mind, just reduces the visibility. And last but not least, again, on your specifics on automotive, I mentioned it, but I'm happy to repeat. We saw a quarter-on-quarter increase by 10% of our automotive revenue in China to an all-time high last quarter.
Sara Russo: Great. That's really helpful. And maybe a follow-up on silicon carbide. Is it safe to assume you are expecting growth in silicon carbide for 2025? Is that partly because you have a larger component that is industrial and a wide customer base or any dynamic on silicon carbide for '25?
Jochen Hanebeck: Yes. In November, we said that we will grow by a low double-digit number, and we are confident to deliver. And again, our customer base is a broad-based customer base. It's many, many applications. And here, again, you see, of course, the success in automotive silicon carbide also in China. But also I think a very nice design win, which I quoted before with ZF.
Sara Russo: Great. Thank you very much.
Operator: Next question comes from the line of Johannes Schaller from Deutsche Bank. Please go ahead.
Johannes Schaller: Yes. Good morning. Thanks for taking my question and congratulations on the good results. I wondered if we could zoom in a little bit on the AI server power side. I mean it looks like you've got some additional orders here. It's progressing quite nicely, and the EUR1 billion number is in sight. Once you're there at the EUR1 billion, do you feel like you have kind of achieved your desired market share? And from there, it's going to be more growth in line with the market? And how sticky are your design wins? I mean we've obviously seen a bit of design changes over the last 12 months, I would say. So from what you have negotiated with your customers, how sticky do you think those wins are? And then just as a quick follow-up on pricing. Things seem to be developing in line with your plan, automotive down low single digit. That's probably better than what your peers are suggesting. So maybe you can help us a bit understand why that is developing quite nicely for you? Thank you.
Jochen Hanebeck: Let me start with the second part, and then I hand over to Andreas on powering AI. As we explained at other occasions, there is a wide range of price development. And we sum it up in the -- for the company to low to mid-single-digits. And all the VPA negotiations are in line with that. That doesn't mean that there are corners of the business where we have higher price reductions. For example, in China, also defending market share somewhere in the company. But on the other hand, if you think about automotive microcontrollers, very sticky business, and the balance out of these two extremes and the rest of the whole portfolio are then leading towards this low to mid-single-digit, which we delivered as predicted. And Andreas on AI.
Andreas Urschitz: Yes, Johannes, Andreas here. As you know well, we power AI, so meaning Infineon is in this unique position, and has put itself in a position over more than a decade that we can provide a complete power flow solution entailing all required power semiconductors from grid, AC, 360-volt to core, typically .7-volt DC in order to power GPU. And there's many step-down conversions happening in between the grid and what we call the core of the GPU. In that regard, we are of the conviction, customers are confirming that we kind of are ahead of all the major U.S. and also Japanese competitors. We entail all the required material systems for power semis, i.e., silicon-based semiconductors, silicon carbide, but also gallium nitride, which step-by-step see proliferation in this high efficient driven power flow market also around AI. We used to be and still are seeing the pioneer digital power, which typically starts playing out a lot related to wide-bandgap semiconductors, such as gallium nitride. It's an additional advantage. We have module technologies, chip embedding technologies in-house in our hand, we don't depend on anybody else, and used to be over 20-years market leader in data centers as such. So summing it all up, I think it is intuitively understandable that from being a leader in data centers and powering data centers we now migrate our position than also in the area of artificial intelligence-based data centers. Recently, there has been a lot of rumors in the industry about Infineon taking further share in powering AI. What I can confirm at this point in time is that we continue to take share. We're, so to say, in all the major sockets at the major players. And with this, we see on the near to midterm, our market shares also in the area of AI continue to raise and probably go in a different direction like we used to have market share-wise in hyperscaler data centers the last 10-years.
Jochen Hanebeck: Very clear. Thank you, Andreas.
Andreas Urschitz: Thanks, Jochen.
Operator: Next question comes from the line of Didier Scemama from Bank of America. Please go ahead.
Didier Scemama: Yes, good morning. And let me add my congratulations on a really impressive print and guidance. I just wanted to come back to your full year guide. I mean I think perhaps you're leaving some sort of upside for the second-half. Maybe just run us through the puts and takes. You've got FX, clearly a benefit. You highlighted that you've got AI servers as well. Are you suggesting that ATV or GIP or any part of CSS perhaps a bit lower than you would have anticipated at the time of the September quarter? Or are you just being cautious? I'm just looking at the delta coming from FX and AI versus the raise of your guide?
Sven Schneider: Didier, Sven here. Thank you for your question. I will answer it. So first of all, I tried the same math as I did last time, to help you to understand the development between first-half and second-half. If we now take the reported numbers for our first and second quarter, that's EUR7 billion, if we want to be flat to slightly up, we need to generate a bit more than EUR8 billion in the second-half. But that's not the real picture. Jochen has said it in his introductory remarks, there is the inventory digestion impact on behalf of our customers, which we expect to be in the magnitude for EUR600 million for the first six months. So if you add that, then you compare EUR7.6 billion to a number which is slightly above EUR8 billion. That gives you a normal seasonality of 7% to 8% second-half to first-half. So I think that is, from our perspective, given how we read the market currently the right level. Secondly, there is no change to the assumptions regarding businesses or the expectation that there will be a modest recovery once this inventory depletion has happened in second-half compared to November. The only major difference between now and November is currency. And as we said, there is the impact in Q1, and now EUR0.05 at least assumed for the remainder of the year. But please do not forget, and I would like to mention it here again, although it has been said in the intro, we are living in a world where we see lots of moving pieces. I mean, over the weekend, we heard, first of all, the tariff announcements. Now we hear overnight that at least for two countries, they seem to be at least pushed out for a month. It's very hard to really predict what's going on. It depends what the negotiations will lead to. And therefore, if there are no major tariff hikes or issues, then I think our guidance holds. But if, as we said, if a tariff is answered by another tariff and it escalates, it could have potentially a significant impact and that is not factored into your guidance, maybe so much to your assumption of being prudent and conservative, Didier.
Didier Scemama: Yes, it makes total sense and it's perfectly understandable. A quick follow-up for me. So on your first quarter China was the standout where your revenues were pretty much flattish. The rest of the other geographies were down sequentially. Obviously, not trying to find any wrinkles in your print, but do you feel like this is genuine demand in China? Or do you think there was perhaps a risk of a pull-in ahead of those tariffs that you mentioned?
Jochen Hanebeck: As we -- as I said, automotive China revenue contributed significantly all-time high quarter and the consumption of this takes place still mainly in China, for sure, very little, if not zero in United States. I cannot exclude completely that there is a pull-in effect, but I would think it's minor. And automotive is certainly, yes, rather clearly on the negative demand in China.
Didier Scemama: Fantastic. Thank you so much.
Operator: The next question comes from Alexander Duval from Goldman Sachs. Please go ahead.
Alexander Duval: Yes, hi there. Thank you so much for the question. Congrats on the strong execution. Obviously, there's been a lot of discussion about xEVs in a mixed environment. And I wondered if you could just give us some color on the extent to which your strong delivery here is actually a function of your robust position in hybrids as opposed to BEVs? And also, could you just help us understand, is that or your strong execution in China more important? And then secondly, in the discussion about AI, you referenced your positioning in multiple materials. Obviously, GaN seems to be becoming more important within the mix. I wondered if you could talk to the strategic advantages that could give you more broadly across your business? Many thanks.
Jochen Hanebeck: Yes. I would say on the xEV side, it's really the broadness of our product portfolio and our customer base. We are not exposed to one OEM over-proportionally, which I also mentioned at the beginning. So it's the offering, it's the offering comprising silicon, silicon carbide, bare die discrete modules, and it's our position across the globe. And if you follow our announcements on design wins, they range from Japan, China, anyway, of course, always for us, Korea, but also now Europe, Germany, North America. So it's really this broadness of customer base plays out as well. In terms of gallium nitride, we feel this is the next revolution in terms of power semiconductors. We feel that the market models of various market research firms are conservative. Right now, of course, the adoption -- the early adoption happens in charger adapters and more consumer-related businesses. But the interesting things are coming. Onboard chargers are coming. Certain architectures in solar, and we will also likely see an extension of gallium nitride beyond the current voltage scheme of 100 volts to 650 volts. There are options to expand that, and that will make gallium nitride clearly the power semiconductor technology of the future. And that's why we are investing heavily into it.
Alexander Duval: Thanks.
Operator: Next question comes from the line of Francois Bouvignies from UBS. Please go ahead.
Francois Bouvignies: Thank you very much. So I have two quick question, clarification on what you said previously. The first one is on AI, and Andreas, you talked about your design win there. What we see in the AI is obviously a very short product cycles. So you see a product almost every five to six months. And then when you look at your recent success, these short cycles makes people wondering how sustainable this market share is? So maybe can you confirm that with all the products that might come to market this year from major AI players, you don't have any dilution of market share? I mean is it still similar or increasing across all the product portfolios? If we imagine a bigger GPU player launching a product in the second-half of the year, is it going to be the same market share as H1, for example? Are we confident about that? Just wanted to clarify first on that.
Jochen Hanebeck: Yes. So first of all, you're right. The product cycle is quick, and that also affects in some cases, the power flow architecture. I think what we have achieved over the last one, two years is that we have become the leading partner or the partner in terms of power flow for all the relevant GPU makers and the relevant hyperscalers, which are engaged in their own GPU. That gives us a position not only to see or to, let's say, discuss and influence the road map on the power flow architecture with all these customers, but it also gives us confidence that despite of product cycle changing, we will maintain revenue basis across platforms or even growing. None of that is totally exclusive. So there will be always shares for other players, but we will have the major shares. And please remember why is that? Because we have the system know-how carried over also from the times of the classical servers, which Andreas related to, we have the broadest product portfolio Andreas mentioned, and we deliver quality with our automotive pedigree that makes us the prime partner for all these players.
Francois Bouvignies: Very clear. Thank you. And my follow-up would be on the tariff across trade war. I understand that it's difficult for you to know the impact of this. But history shows that when you have an uncertainty coming to market, the -- your customers tend to build up inventories just to in case, because it's very uncertain for them, so they might want to build a bit of a buffer in case you have tariff and prevent any supply chain issues. So since you had the tariffs this last weekend basically, have you seen any customers calling you and maybe saying like, okay, after all, we need to increase a bit of inventories or stop declining at least, because it would be very risky to do that in the current environment?
Jochen Hanebeck: None of these calls, obviously, as we are still in an inventory digestion period. This quarter, inventories are on the high side. And it's very, very difficult to predict, which exact supply chains might be affected, right? You may know that in the semiconductor world, normally tariffs are applied to the land of diffusion, meaning the front end, and not to the land or the country of the package die, that can theoretically change. There are no indications to that, but it's a major factor. And in that regard, for example, the tariffs on Mexico and Canada would not have affected us materially in a direct way. But of course, you can assume that the price of cars will go up in the U.S. if those tariffs are implemented and therefore, the volume will go down. And of course, then we would be affected. But it's a very, very complex network. And I can only say, as when highlighted, it might be overall insignificant, it might be significant. And we have not included anything material in our outlook as the number of combinations is simply too vast and therefore, would not lead you in the correct way.
Francois Bouvignies: Great. Thank you very much.
Operator: Next question comes from the line of Sandeep Deshpande from JPMorgan. Please go ahead.
Sandeep Deshpande: Hi, thanks for letting me on. My first question is about EVs and hybrids as such. Do you see your revenue from these markets increasing in FY ‘25? Or how is it progressing in the year?
Jochen Hanebeck: I think our market model for this year suggests growth mainly in the battery electric vehicles, but also in the plug-in electric vehicles. But we know that these numbers are, yes, tend to be dynamic and depending on individual models. But as we speak, we would think we will see more growth in cars on battery electric vehicles than on plug-in hybrids. Does that answer your question, Sandeep?
Sandeep Deshpande: But does this translate into revenue for Infineon as well despite all this inventory, et cetera?
Jochen Hanebeck: Yes, we see a healthy ship-through in China as we hinted that, right, with the growth in revenue in China for automotive in the last quarter. I was also talking about significant order increase by a, let's say, prestigious Chinese model. But of course, overall, automotive will see also other effects in other parts of the portfolio. And battery electric vehicle as it's trending towards silicon carbide is, of course, a bigger growth driver than a plug-in hybrid based on IGBT, but I think this you anyway know already.
Sandeep Deshpande: And one quick follow-up for Sven. Your days of inventory in the quarter increased quite significantly. What are you comfortable with in terms of inventory? And why did it increase in the quarter? Is it just a revenue decline that caused this to increase?
Sven Schneider: Sandeep, I was sure that you will ask the question, so it's spot on. It increased and it's a numerator-denominator topic. So on the one hand, you have the significantly reduced revenues and COGS from EUR3.9 billion to EUR3.4 billion, 13% down. The other one is that we had some significant supply, especially on the roll wafer side, which came in, in Q1. And so both together led to the increase from slightly above 150 to 190 days. That's a number which we consider to be too high. And therefore, once the revenues are expected to come back in the next quarters, we will work down and that's why our forecast for the end of the fiscal year is that we end at the -- around the level of the previous year-end. And it will probably then take until 2026 to go back to the to this pre-inventory build situation. So it's still some way to go, but it's important for us to manage the cycle, the fab loadings and the inventory in sync, and that's what we are doing.
Sandeep Deshpande: Thank you.
Operator: Next question comes from Joshua Buchalter from TD Cowen. Please go ahead.
Joshua Buchalter: Hey guys, congrats on the result. Thank you for taking my question. I apologize for asking another one on inventory. It sounds like there was a little bit of a change in how you were thinking about how much downstream inventory needed to come out in the first-half of the year. I think you went from -- I think you were originally expecting to take out around EUR400 million in the first quarter and you wound up taking EUR200 million out. Was that a function of market conditions or a change in the philosophy on what you thought was needed to come out because of what you're hearing from your customers? Thank you.
Sven Schneider: Yes. Joshua, Sven here again. So I think we have been pretty bold in November in giving any number given that there is really limited visibility. So you're right. We said for the first-half, it could be a magnitude of EUR600 million to EUR700 million, give or take, EUR400 million for the first quarter, EUR200 million for the second quarter. The EUR200 million we just reconfirmed. Now you can ask, yes, but your Q1 was a bit better, EUR200 million higher revenues. Half of that is currency. So half must be volume. Is that now new volume? Or is the EUR100 million volume coming out of inventory? Nobody can tell you. But broadly speaking, no change of our basic assumptions of the inventory effects and also not of the length. So we expect that to gradually fade out and maybe there is a small impact in Q3. But from today's perspective, then we should be back.
Jochen Hanebeck: And please remember that part of the inventory is due to our activities in terms of optimizing our manufacturing footprint, and there might be more news to come in that regard.
Joshua Buchalter: Okay. Understood. Thank you, I appreciate the color there. And also unsurprisingly, I wanted to follow up on data center. Any, I guess, granularity you can give us on what's driving the upside in your new forecast across your major socket, so maybe in the server versus the rack versus after the grid, because you are offering such a wide range of power solutions for AI. I'd be curious to hear, again, on a socket basis, if there's anything you can help us with. Thank you.
Jochen Hanebeck: Yes. We do not talk about individual -- platforms of individual customers. In tendency, of course, the growth into -- for this fiscal year is caused more on the power stage side, but we also have a very nice development on the PSU side, and again across all mainly for big customers, but there are also second-tier customers. So it's -- again, it's a broad-based story. But Andreas, anything to add?
Andreas Urschitz: So basically, maybe what gives you some indication to substantiate your models. The higher the power requirement goes in any given server rack system, the more it plays into the camp of Infineon's strength, if you will. And what I'm talking about is, again, Infineon's competencies and completeness in portfolio for both, the switch mode power supplies converting power from the grid to DC in a given server system, where with the increase of power requirements in the server rack, also the power of these power supplies goes up and as a function of this, all these materials that Infineon has in its portfolio start playing out even better and we tend to take share. On the other side, the more power goes up, driven by the process of power, the density requirements increase but also the reliability needs go through the roof. And again, this is a field where Infineon is a classical strong player and where customers love to go with us. So having said that, these are elements you may put into the equation in terms of Infineon gaining share going forward and also as a function of increasing power.
Joshua Buchalter: Thank you.
Operator: The next question comes from the line of Janardan Menon from Jefferies. Please go ahead.
Janardan Menon: Hi, good morning. Thanks for taking the question and congratulations on a great set of results. I just had one question on the gross margin, maybe Sven, you could just address how you see the gross margins moving over the next three or four quarters because you've done about 41% margin in the first quarter. You're guiding for 40%. So is it that you see underutilization charges being quite a big headwind in coming quarters? Or what is it? I mean, would you not see some improvement in gross margin alongside segment margin towards the latter part of the year? And I have a brief follow-up.
Sven Schneider: Yes, Janardan, thank you for the question. So first of all, there is a short-term effect and then there is the full year effect. The short-term effect is for the running second quarter. Yes, there is a positive fall-through from more revenues, but there are the typical price effects from the VPAs kicking in. And there is no one-timer repeating which was in the books for Q1. So that explains why gross margin-wise, this quarter is a bit below Q1, like on the segment result margin. For the remainder of the year, you are right. I mean, we expect the modest recovery. We expect positive contribution from our Step Up initiatives and others, and therefore, for the full-year, we have set now around 40%. We have also set on the segment result mid- to high teens. And there was one important sentence in Jochen said the more -- the longer the dollar stays longer, the higher the probability is that we are at the higher end of that range. And I would probably transfer that also to the gross margin. Let's stop there, Janardan, and I think you understand what I mean.
Janardan Menon: Sounds good. Very clear. And one follow-up on the AI power. You have been raising your expectations for 2025. This is the second time now that you've raised your guidance for 2025 in the last few months. But you still haven't changed your target for reaching EUR1 billion of revenue, which seems to continue to be in 2027. I'm just wondering, is there anything -- any kind of headwind that you see in 2026? Or is it just lack of visibility? You don't want to say anything that far out? And if all goes well and given Andreas comments on how well it's going, can we expect that by 2027, you should be comfortably above the EUR1 billion level rather than at EUR1 billion?
Jochen Hanebeck: Yes. Look, it's a market that is very dynamic and just see the announcement of DeepSeek, which might temporarily reduce the momentum on the infrastructure build-out, but also could be that as smaller models will become less expensive that the usage of AI is even accelerating, and therefore, needs them more infrastructure. Then we have the trend of cloud AI versus not only edge AI, but also on-premise AI as showcased at the CES. And then we have the topic of -- besides, of course, market shares, we have the topic of vertical power stages, lateral power stages. There are also potentially hybrids out of the two possible. So a lot of variables, and we would like to see here more clearer trends before we come up with number but -- or more numbers. But given the general momentum in AI, I think we will see continuous growth over the next years to come.
Janardan Menon: And would there be any difference between inferencing and training from your point of view with Infineon, because of the higher power requirements on training have an advantage? Or do you think you will have similar market shares on inferencing as well?
Jochen Hanebeck: We are sure the training is the high performance. In high performance, the product offering in the market is typically smaller, quality is even more important. But that -- with this statement, I would not like to say that we are -- will not be present with a good market share in the inference world.
Janardan Menon: Thank you.
Operator: The next question comes from the line of Lee Simpson from Morgan Stanley. Please go ahead.
Lee Simpson: Great. Thanks for letting me on, and congratulations to everyone for what looks like a very solid print. I'll maybe repeat some of the questions, but maybe just from a slightly different angle. Looking at Q1 and the margin structures, you did mention that idle charges are still part of the factor here, under-utilization effects and that we might, however, have an offsetting benefit from the Step Up program as we go through the rest of the year. So I wonder if you could maybe quantify those three main elements, the underutilization, idle charges, the Step Up effect really as we roll through the rest of this year and what that means for gross margin? And maybe rather than ask another AI server question, I think it may be turned to IoT. Look, you're giving some indication here that IoT may be at the start of, let's call it, a modest inflection here. And I wonder if you could point to where we are with software tool box development, engagement with the developer community more broadly and the use of PSoC to deliver end market solutions as you currently see things? And whether this is '26 or '27 ramp-up story? Thanks.
Sven Schneider: Lee, I'll take your first question on the idle and Step Up and then Jochen will talk about IoT in a second. So on the idle cost, as we said, we still guide for, give or take, EUR1 billion of idle cost. The split is still 60-40 roughly spoken. So 60% of the idle in the first-half, 40% in the second-half, which also explains a little bit the margin development in the Q3 and Q4 quarter. The peak from today's perspective, but it may slightly shift by a couple of weeks, but from today's perspective, the peak should be from idle in this fiscal quarter, given how we forecast the recovery, the modest recovery in the second-half. On the Step Up contribution, you are aware that there are various components. Some are leading, others are lagging initiatives. So efficiency in central functions, portfolio management, tactical pricing, excellence and COGS. So some take a little bit longer. Others are more short-term, effective. So I'm happy to say that we would expect, of course, the high-triple-digit in '27 as said, give or take, half of the contribution should be there in '26, and a first meaningful contribution, meaning a low triple-digit million euro amount should come through this year. That's as much as I can say on the Step Up contribution.
Jochen Hanebeck: Yes. And thank you very much, Lee, for your question on PSoC as it is a different one. First of all, within the PSoC family, there are three subfamilies. One is edge. Another one is control. And the third one is connect. And we are making pretty significant investments in all three. And the question is, of course, how to differentiate. On the edge side, it's exactly as you hinted at, it's the AI trend where we feel that edge AI will play a more significant role. In that context, we also acquired the company of Imagimob because, again, there, you hinted correctly, it's only partially about the hardware. It's a lot about the toolbox. It's the software, the whole ecosystem. So I think there AI will make a difference. On the control side, and I mentioned in my script, we feel that the move from silicon to wide-bandgap material will increase in many applications, the frequencies, and therefore, will call for different control loops. And a case in point is, for example, robotics, where you can then realize much smaller motors, particularly suitable for humanoid robotics. And thirdly, on the connect side, of course, it's the strength of the former Cypress portfolio on Wi-Fi and also Bluetooth Low Energy, which we combine with micros. All these families are full steam in development, and they are doing a great job in bringing out these devices. Typically design in periods for these devices take some time. So I think they will only have a smaller impact next year, but in the years from there onwards will play a nice contributor to our growth.
Lee Simpson: That's great. Thanks for the details.
Operator: The last question comes from the line of Andrew Gardiner from Citi. Please go ahead.
Andrew Gardiner: Good morning gentlemen, thanks for taking the question. So two follow-ups because some of the comments you've been making. First, on margins and FX and then secondly, just a bit of a history lesson on the AI side and data center side. So on FX spend, is it still the case that the rough rule of thumb should be a EUR25 million and EUR10 million impact per quarter percent move in the FX rate? Is that sort of rough rule of thumb still holding? And if indeed it is, I suppose, to the point that Jochen made about being at the higher end of the margin range. Is there a reason why you're not sort of using that rough quantification to lift the guidance? Is it just prudent? Or is there something else we need to keep in mind that's holding you back on that front?
Sven Schneider: Yes, Andrew. So first of all, yes, you know us well, the sensitivities work, as you said, EUR25 million and EUR10 million. That's why if you translate $1.10 to $1.05 and then the tailwind in Q1, they add up to the EUR450 million on the revenue side, and there is then the incremental contribution on the segment results side. And I would really leave it there, as we said, there is a higher likelihood to end at the higher end of the range when the dollar really comes in at these levels because there is a positive contribution, as you hinted at.
Andrew Gardiner: Okay. Thank you. And then just on the AI point, Andreas, you mentioned that you would expect over time your market share in terms of AI power to trend towards where you had been historically for data centers and hyperscalers more broadly. Just for clarity, is -- where is that -- where has that been historically? Is it around the third sort of the market that you've had across power? Or has it been higher than that?
Andreas Urschitz: A bit higher than typically we have in power semiconductors. So I would tend to answer the question in the area of 35 to 40 percentage points.
Andrew Gardiner: Perfect. Thank you very much.
Andreas Urschitz: Welcome.
Alexander Foltin: Thanks, everyone. It's now time to wrap up. We have been already in a generous overtime, which is indicative of the high interest of our analysts, but also of comprehensive management answers. Thanks all for your questions. We are concluding the first fiscal quarter conference call herewith. Being cognizant that there are further analysts in the queues, the IR team here in Munich is happy to answer their questions. Everyone, take care, and have a good day. Bye-bye.